Operator: Ladies and gentlemen, good morning. Thank you for standing by. And welcome to Thomson Reuters' Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] And as a reminder conference, this conference is being recorded. I would now like to turn the conference over to our host, Vice President, Senior Investor Relations, Mr. Frank Golden. Please go ahead.
Frank J. Golden: Good morning, and thank you for joining us as we report our financial results for the fourth quarter and the full year of 2013. Our CEO, Jim Smith, will start today's discussion, followed by Stephane Bello, our CFO. Following their presentations, we will open the call for questions. [Operator Instructions] Now throughout today's presentation, please keep in mind that when we compare performance period-on-period, we look at revenue growth rates before currency as we believe this provides the best basis to measure the underlying performance of the business. Let me point out that Stephane will begin his portion of the presentation presenting our actual results, including all charges incurred in the fourth quarter. For the remainder of his presentation, he will discuss the results, excluding charges incurred in the fourth quarter, which will enable you to measure our performance against the 2013 outlook we provided last February. Lastly, please note that in today's earnings release, we have provided supplemental information on pages 19 and 20, which exclude the charges for each of the business units, to enable you to gauge their underlying performance. Today's presentation contains forward-looking statements. Actual results may differ materially due to a number of risks and uncertainties discussed in reports and filings that we provide to regulatory agencies. You can access these documents on our website or by contacting our Investor Relations Department. Let me now turn it over to the CEO of Thomson Reuters, Jim Smith.
James C. Smith: Thank you, Frank, and thanks to those of you on the call for joining us. Today, I want to cover 3 topics. I'll begin by discussing how we performed for the year against the outlook we provided 1 year ago. Next, I'll update you on the progress we made last year against the challenges we faced and what we expect to face this year. And lastly, I'll provide you with our outlook for 2014. I'll then turn it over to Stephane, who will review our results for the fourth quarter and the full year in more detail. But first, let's review our full year '13 results. I'm very pleased to report that we met each of the 2013 outlook metrics despite what continues to be a challenging environment in our 2 largest markets. We also crossed several important milestones for nonfinancial metrics, which I'll discuss in a moment. We still have more work to do in order to achieve our objectives of returning to mid-single digit growth and higher levels of free cash flow per share. But the trajectory is encouraging, and we are making real progress. Additionally, we're redoubling our efforts to simplify our company as part of our transformation program. Now let me provide you with a high-level summary of the results for each of our businesses. The Professional businesses were up a healthy 6% for the full year, led by strong performances in IP & Science and Tax & Accounting, up 11% and 9%, respectively. Legal was up 3% primarily from acquisitions. It was down 1% organically. Excluding U.S. print, which declined 6% for the full year, revenues grew overall. Stephane will discuss this in more detail later. Financial revenues were down 1%. It was a minus 3% organically. We're making very tangible progress, both from an operating and competitive perspective, but it will take more time before this progress translates into positive revenue growth for this business. Lastly, we continue to successfully identify, attack the growth opportunities in rapidly developing economies as evidenced by the 10% increase in revenues in our GGO operations. That's 5% organic. As we reported in October, we began implementing a number of actions which distorted our Q4 results but will help strengthen our position going forward. These actions include charges related to our transformation program, a fourth quarter pension contribution, significant debt refinancing and the ramp-up of our share buyback program. These actions began the process of rightsizing our cost base and are expected to translate into significant savings beginning in 2015. Importantly, we achieved several significant operational accomplishments, including the upgrade to Eikon; closing the legacy platforms like Bridge; and lastly, we launched Eikon 4.0 to strong reviews. However, we did face several challenges in the fourth quarter that I want to address today. First, the global financial services market remains challenging. Second, net sales in our Financial business were negative in the fourth quarter, as expected, and did not show a year-on-year improvement relative to Q4 of 2012. As you'll recall from my remarks in Q3, the fourth quarter is always the toughest quarter of the year. The majority of the fourth quarter's negative net sales were due to large accounts and the Bridge platform closure in Q3. Now as I've said before, one quarter does not make a trend, and we remain confident that our net sales trajectory -- in our net sales trajectory as we enter 2014. Third, our Legal business reported an organic revenue decline of 2% in the fourth quarter. This is primarily due to a decline in U.S. and Latin American print revenue. The decline in the U.S. print revenues, we believe, is structural, and we're focused on how to best mitigate this dynamic. On the other hand, we believe that the decline in Latin American revenues is temporary as the business transitions from print to online. And at the same time, we're also rolling out a common Order-to-Cash system across various businesses, most of which we acquired over the last 3 years, and we're harmonizing our commercial policies. This is a painful, but essential step to solidify our platform for future growth. So there was a lot of activity as we improved our position with customers, launched new products, continued to reduce operating expenses, lowered our financing cost and funded our pension obligations. And yes, we continue to face challenges, but the trajectory is positive, and I'm confident the actions we've taken and will continue to take will enable us to improve growth and profitability. Now let me highlight several key accomplishments for 2013 before I turn to our outlook for 2014. Our growth businesses, which now represent over 50% of our revenues, were up 9%. We define growth businesses as everything other than financial desktops and Legal's U.S. core research business, which includes print. The success we're achieving in these growth businesses is a direct result of having taken a very targeted investment approach over the last several years. We expect to see continued good growth from these businesses as they comprise an increasingly larger proportion of our revenue base. In the Financial business. The Financial business improved its execution capabilities, which cannot be overstated. We ended the year with essentially all 3000 Xtra customers upgraded to Eikon and now have 55% of our desktop revenue, or $1.7 billion, on Eikon. This was a tremendous accomplishment. We also saw an improvement in our net sales in 2013, still negative for the full year, but much better than 2012. And despite the lower performance in the fourth quarter, net sales in the second half of the year were better than in the second half of 2012. For 2014, I expect this trajectory of gradually improving net sales to continue with most, if not all, quarters targeted to show year-on-year improvement. And we continue to execute. We're making good progress improving our customer satisfaction ratings, which were up 600 basis points for Eikon customers last year. Finally, we continue to make significant progress reducing our cost structure in a sustainable manner, with more opportunity ahead in 2014 and 2015. For example, the company's adjusted EBITDA margin was essentially flat despite a 1% decline in organic revenues and about $100 million of charges in the first 9 months of the year. And importantly, these results were accomplished before the benefits we expect to achieve from the transformation program, which will further simplify our organization and will contribute to drive higher organic growth, higher margins and increasing levels of EPS and free cash flow per share. We will have more to share with you on our progress and our goals during the IR Day in March. Now let's look at 2014. We expect the momentum that's been building inside the company to continue. While the negative net sales of 2013 will combine with still challenging market conditions to temper our current year growth, we will continue to improve our competitive position. We cannot control external markets. And like many, we're disappointed with the softening we saw in Q4, particularly in the European banking sector and in emerging markets. That said, I'm encouraged by the way our businesses have been able to execute in these conditions. And I'm confident that as we work more closely with our customers to meet their needs, their confidence in our ability to perform is growing day by day. Lastly, while we all look forward to a faster growing -- pardon me, while we all look forward to a faster growing global economy, Thomson Reuters is in a position where we can drive costs out and profitability and free cash flow up by pulling the levers we have to transform the company into a more integrated and efficient organization. Looking to 2014, we are on a positive trajectory, and there are pockets of growth that we can and will exploit. Our Financial business enters this year in a far stronger position. Our sales people can now focus on new sales as the 3000 Xtra upgrade program is behind us. In 2013, salespeople were more focused on upgrades than new sales. That's not the case this year. We expect to benefit from higher retention rates, a direct result of much improved products, better customer service and higher customer satisfaction. And we forecast a marked improvement in Financial's EBITDA margin given the benefits expected from the restructuring steps we took in 2013 and will continue to take this year. Now the Financial business will confront a number of challenges in 2014. First, banks continue to be under pressure with higher capital constraints, increasing regulation and substantial fines levied, all of which are hindering their growth and returns. Second, negative net sales last year will impact this year's growth. As mentioned earlier, we expect to see continuing, gradual improvement in Financial's net sales performance this year. And lastly, we will continue with our ongoing platform and product rationalization program. These programs, coupled with migrating customers to our new commercial offerings, are expected to result in a loss of some revenues as we strengthen our position and seek to increase market share while building a more profitable business. As we discussed at Investor Day, a focused management team, combined with better products and improved systems and back-end processes, have enabled us to employ a much stronger commercial discipline. We're far more rigorous in retiring the legacy platforms and products and eliminating less profitable revenues and exiting smaller operations and third-party contracts. The net result of these actions is likely to result in the loss of some revenue in the short term from actions such as: closing smaller products, as we did with the Bridge platform; eliminating low-margin communications revenues as we move customers off expensive telecom infrastructure to lower cost delivery platform; and reducing recoveries revenues as we work with third parties and clients to build directly rather than having us do it on their behalf. So all these actions will impact Financial's revenues in 2014. But we are confident it will drive greater profitability and scale as we work toward our goal of an EBITDA margin nearing 30% in 2015. Now turning to the Professional businesses. Legal is on a positive trajectory and is expected to continue to make good progress as it evolves into a solutions business, helping law firms improve productivity, manage their businesses more efficiently and grow more quickly. Legal's growth businesses will represent about 50% of its revenue base this year and are expected to continue to grow strongly. For perspective, these businesses represented less than 40% of Legal's total revenues back in 2011. The challenge in 2014 for Legal resides on the core legal research and print side of the business, which represents the other 50% of revenues. Westlaw remains foundational to our business. We're focused on further leveraging and integrating other tools and solutions into Westlaw as we work to boost retention and new sales. Print is likely to decline mid- to high-single digits this year given the structural changes in the market. However, U.S. print now represents about 15% of Legal's revenues and only 5% of Thomson Reuters' total revenue. So the impact of this business on our overall performance is diminishing. In 2014, Tax & Accounting and IP & Science are expected to continue to build from their strong performances last year. The global markets in which they operate continue to expand, and they each hold strong market positions, which is expected to help drive growth. Now for our 2014 outlook. We forecast that our revenues will be comparable to 2013 for the company as a whole. Last year's negative net sales in our Financial business and continuing pressure on Legal print revenues will impact 2014. In addition, as indicated during our Q3 earnings call, we expect to complete fewer acquisitions this year than we did over the last 3 years as we focus the organization on driving organic growth and pushing scale initiatives aggressively throughout the corporation. This strategy will obviously impact our overall revenue growth performance in the near term but is expected to deliver greater value for our shareholders over the long term. Second, the adjusted EBITDA margin is expected to range between 26% and 27%. Third, our underlying operating margin is forecast to range between 17% and 18%. Finally, we forecast free cash flow to range between $1.3 billion and $1.5 billion, reflecting the negative impact of an estimated $300 million from the charge we announced in Q3 and the loss of about $75 million in free cash flow from disposals. Lastly, given our strong capital position and our confidence in the cash generating capacity of the company, this morning we announced a dividend increase of $0.02 per share to $1.32 per share. This marks the 21st consecutive annual increase in our dividend. In addition, we expect to continue to execute on the share buyback program we announced on our third quarter call, where we anticipate repurchasing $1 billion of stock by year-end 2014. With that, I want to thank you, and I now turn it over to Stephane to discuss the fourth quarter results.
Stephane Bello: Thank you, Jim, and good morning or good afternoon to you all. As Frank indicated earlier, I will speak to revenue growth before currency throughout today's presentation. So this first slide provides a snapshot of our fourth quarter and full year results on a reported basis. These reported results reflect the impact of the charge we took during the fourth quarter, consistent with what we announced last October. And as you have read in our press release, this charge had a $260 million impact at the EBITDA level and a $275 million impact at the operating profit level. Our fourth quarter revenues were up 1% due to acquisitions. Organic revenues declined 1% primarily due to the continuing lag effect from negative net sales in our Financial segment. Overall, our Professional businesses grew 5% during the quarter, 2% organic, while F&R declined 2% and was down 3% organically. For the full year, revenues were up 2% due to acquisitions. Organic revenues declined 1% due to the same drivers that impacted Q4. Now adjusted EBITDA on a reported basis in Q4 was down to -- 32%, and our EBITDA margin was 18.7%. This decline was primarily due to the charge I mentioned earlier. Foreign exchange had a 50 basis point positive impact in the quarter. Adjusted EBITDA for the full year was down 7%, and the margin declined 210 basis points. And here, foreign exchange had a 20 basis points positive impact on EBITDA margin for the full year. Underlying operating profit in Q4 declined 50%, again primarily due to the $275 million charge. And for the full year, operating profit declined 15%, impacted by the aforementioned charge and increased depreciation and amortization expenses. Now for the remainder of this presentation, as Frank mentioned, I will be speaking to our results excluding the charges include -- incurred in our fourth quarter results since these results are comparable to the full year 2013 outlook we did provide in February of last year. So let me focus on the results highlighted in the orange-framed box on each slide, which excludes the Q4 charges. Adjusted EBITDA was down 3%, and the margin declined 90 basis points due to a 1% decrease in organic revenue growth. The EBITDA decline was primarily related to the Financial and Legal businesses, which I will explain in more detail in a moment. Underlying operating profit was down 5%, and the margin was down 100 basis points. Free cash flow for the quarter was $714 million, up 1% from last year, and earnings per share was $0.49 as compared to $0.54 in Q4 last year primarily due to the decline in underlying profit and to a higher tax rate. For the full year, and again excluding fourth quarter charges, adjusted EBITDA grew by 1%, and the margin went down 10 basis points. Let me remind you that the numbers on this slide exclude the charges we took in Q4, but they do include $97 million of severance charges we took over the first 3 quarters of the year. The margin declined only 10 basis points despite the negative organic revenue decline and, despite about $100 million of severance expenses, reflects the progress we are making to take costs out on a sustainable basis. Underlying operating profit declined by 2%, and the margin was down 50 basis points primarily related to the charges across the first 3 quarters and to the increase in depreciation and amortization I mentioned earlier. Free cash flow was $1.7 billion, excluding the $500 million voluntary pension contribution that we made in the fourth quarter. This was down slightly from last year's free cash flow performance. The primary driver for the free cash flow decline was the loss of about $150 million of free cash flow from divested businesses. The free cash flow from our ongoing businesses was actually up 7% or over $100 million for the year. Now let me provide you with some additional color on the performance of our individual businesses, starting with our Legal segment. The U.S. legal market remains challenging. Demand for legal services, as measured by Peer Monitor, was down 1% in 2013 following a flat year in 2012. During the quarter, our Legal business grew 2% but was down 2% organically. This organic revenue decline was due to 2 main factors. First, as expected, U.S. print continues to be a drag on overall performance. Our U.S. print business was down 5% in the quarter. As Jim mentioned, this is a structural decline which we do not expect to turn around in the foreseeable future. However, the silver lining is that U.S. print represents an increasingly smaller portion of our overall Legal business. It represented about 15% of Legal's total revenue in 2013, down from about 24% back in 2008. As such, the impact of U.S. print on Legal's overall revenue growth performance should continue to diminish over time. The second factor which negatively impacted Legal's revenue growth in the quarter was our Latin America business. Overall, our Legal business in LatAm was down 10% organically in 2013, with most of the decline taking place in Q4. And this decline is due to a combination of factors: First, we are seeing a slowdown in emerging markets, which is also impacting the legal publishing market in LatAm. And second, we are in the process of rolling out a new Order-to-Cash system across our Legal and Tax & Accounting businesses in Latin America. And as part of this project, we are also harmonizing tighter commercial policies in the region. The implementation of these common processes, policies and systems is causing some short-term pain on our performance, but they are essential in solidifying the platform we have established in the region, and they will position us for strong growth in the future. As the last phase of the new system implementation is scheduled for Q2, we expect some additional short-term pain this year, but we remain confident in the growth prospects of our LatAm business in the long term. If you exclude the impact of print in the U.S. and in Latin America, Legal's organic revenue growth would have been positive 1%. Subscription revenues, which account for 70% of total Legal revenues, were up 7% in Q4, 1% organic. And transaction revenues, which are 13% of the revenues, these were down 13% primarily due to lower book sales in Latin America. Turning to our profitability metrics. Legal's EBITDA decreased 6%, and the margin was down 270 basis points in Q4. The margin decline was due to the revenue decrease in LatAm, the dilutive impact of the Practical Law acquisition and the decline in core legal research. Finally, operating profit decreased 9% due to the same factors. Although we've made every effort to offset the negative revenue mix impact through cost savings, the decline in Latin American revenue, combined with the dilutive impact of an acquisition the size of PLC, overshadowed these efforts in the fourth quarter. For the full year, our Legal business grew 3% and was down 1% organically. Excluding U.S. print, which declined 6% for the full year, revenues grew organically. Subscription revenues, again 70% of total Legal revenues, were up 8% for the year and up 2% organically, which reflects expanding sales in our newer lines of business, somewhat offset by a continued challenging core legal research market. And transactional revenues, which represented 14% of the total Legal revenues for the full year, were down 5%, again primarily due to lower book sales in Latin America. Now again, looking at our profitability metrics for the full year, Legal's EBITDA decreased 1%, and the margin was down 150 basis points. And as you can see on this slide, we experienced a 300 basis points decline in our margin due to the combined effect of the revenue decline in our Latin American business, the dilutive impact of the PLC acquisition and the decline in print, with each of these 3 factors contributing to a decline of about 100 basis points individually, of 300 basis points combined. And we're able to offset about half of this decline through an improvement in profitability in our growth businesses and through expense savings. Finally, operating profit decreased 3%, and the margin also declined 150 basis points. Now for 2014, we estimate that Legal's EBITDA margin will be flat to down slightly from its 2013 level as we only experience the year-on-year impact of the PLC acquisition for the first couple of months of the year. And finally, here's a more detailed look at the performance of our 3 subsegments within Legal. U.S. Law Firm Solutions' revenues were flat and down 1% organic. This is our largest subsegment, representing just over 50% of Legal's revenues for the year. Within that subsegment, Business of Law increased 7%, driven by strong growth from FindLaw and Elite, while research-related revenues were down 1%. The second subsegment, Corporate, Government & Academic, which is about 1/4 of the total, was up 1% for the year. And the last subsegment, Global Legal, which is also 1/4 of the total, achieved revenue growth of 14%, driven by the acquisition of PLC. It was down 1% organically given the decline in Latin America. Now turning to our Tax & Accounting business, that segment delivered another strong quarter. Revenues grew 11%, of which 7% was organic, driven by strong growth across all segments. Recurring revenues, about 85% of Tax & Accounting's revenue base, grew 7% organically. And transaction revenues grew 6% organically. From a profitability standpoint, EBITDA and operating profits were each up 10% in the quarter with the related margins up 40 and 50 basis points, respectively. For the full year, revenues were up 9%, 5% organic. EBITDA was up 10% with an 80 basis points margin improvement, while operating profit was up 12% with the margin up 90 basis points. And finally, as you can see on this slide, we achieved strong growth in the Tax & Accounting business for the full year across each segment except Government. However, we did see the start of a turnaround in the Government business in the fourth quarter as revenues increased 7%. We implemented a number of changes to that business in the second half of the year, including a new management team, and we expect that this business will continue its turnaround in 2014. Turning to IP & Science. Fourth quarter revenues grew 11% with organic revenue up 9%. Each of the IP & Science businesses recorded good organic growth for the quarter. There were several large contracts signed by our Life Sciences and our Scientific & Scholarly Research business in the quarter that did drive the growth. The strong revenue growth led to a 17% increase in both EBITDA and operating profit. As I have said previously, full year results are much more representative of the performance of the business. And on a full year basis, revenues were up 11%, 4% organically. EBITDA grew 8% with the margin declining 60 basis points due to the dilutive impact of the MarkMonitor acquisition. Operating profit grew 6% with the margin declining 100 basis points. Now we have shown this last slide in prior quarters, and we've just updated it to show you the full year balance between subscription and transactional revenues for IP & Science. As you can see, the majority of the revenue is subscription based and showing strong growth. Subscription revenues in the fourth quarter were up 8%, all organic, and represent about 3/4 of IP & Science's total revenue base. Transaction revenues in Q4 were up 16% due to several large onetime deals that were closed in the fourth quarter. And for the full year, subscription revenues were up 12%, out of which 5% was organic, driven by strong growth from Life Sciences and Scientific & Scholarly Research, both of which were up 7%. And finally, transaction revenues for the year were up 6%, of which 4% was organic. Financial & Risk revenues were down 2% with a 1% contribution from acquisitions. So organic revenue was down 3%. These declines reflect the continued impact of our sales performance over the past 12 months and a repeat of the lower transaction volumes we saw in the third quarter. Recurring revenues, which are 76% of the total, declined 2% organically. Transaction revenues increased 2%, but they were down 4% on an organic basis as a result of lower volumes across the industry. As we noted in Q3, this decline in transactional revenues is largely market related. Recoveries, which are about 10% of total revenue, declined 5% due to a combination of desktop losses and the fact that some exchanges have moved to billing customers directly. As a reminder, recoveries are low-margin revenues. The EBITDA margin was down 100 basis points, and the operating margin was down 140 basis points. As we said on the third quarter call, we did not anticipate the same margin improvement in Q4 as we saw in Q3, but this decline was in line with our expectations. That said, we expect improvement in the trajectory of the EBITDA and OI margins for F&R to continue, and our full year margin performance is far more indicative of the underlying expense savings the business is achieving. So for the full year, Financial's revenues were down 1% with a 2% contribution from acquisitions. So organic revenues were again down 3%. Recoveries contributed to 50 basis points of the organic revenue decline with the remainder a result of the sales performance in the second half of 2012 and the first half of 2013. Adjusted EBITDA declined 4%. Let me remind you that these results include $73 million of severance charges that were incurred in the first 3 quarters of the year. So Financial & Risk's full year EBITDA margin declined a modest 40 basis points for the full year despite a 3% decline in organic revenues and despite incurring $73 million of severance charges. It is a testament to the success the F&R team is having in taking costs out by effectively managing headcount, shutting down platforms and operating more efficiently. Underlying operating profit was down 8% with the margin decreasing by 90 basis points. And depreciation and amortization was up $26 million compared to the prior year. By the end of the fourth quarter, we had installed 122,000 Eikon desktops with essentially all legacy 3000 Xtra customers upgraded to Eikon. So F&R almost tripled the number of installed Eikon desktops from 45,000 at the end of 2012 to 123,000 as of today. As we had said before, the light [ph] between billed and installed Eikons would be eliminated over time, and you can see that, that was the case as of January 31. Now here is an update on a slide we presented last quarter. You can see on this slide that at year-end 2013, 55% of our Financial desktop revenue base has now been upgraded to Eikon. This represents about $1.7 billion in annual revenue. The remaining 25% which is still to be upgraded represents largely Thomson ONE accesses [ph], and it is expected to be completed over the next couple of years. As such, reporting the quarterly increase in Eikon desktop will be a less relevant metric going forward now that all the 3000 Xtra terminals have been upgraded. As a reminder, desktop revenues make up around 45% of the total revenue of Financial & Risk. Now I'd like to update you on our capital position, free cash flow and earnings. And as Jim said, 2013 was a very active year from a capital structure standpoint. We issued $2.8 billion of debt in 2013, including $800 million to redeem and pre-fund some bonds maturing October 2014. Through these various transactions, we took advantage of the very favorable interest rate environment to extend the average maturity of our debt portfolio from 7 to 9 years while at the same time reducing our average interest rate to about 5%. We ended up the year with a net debt-to-EBITDA ratio of 2.1x, and we had $6.7 billion of net debt outstanding. We also bought back $400 million of our outstanding shares, out of which $300 million was executed in the fourth quarter alone. And this puts us well on our way to achieve $1 billion buyback target by the end of 2014. Free cash flow for the full year was about $1.2 billion, and this number included the voluntary $500 million pension contribution, about $27 million of severance payments made in the fourth quarter, as well as the loss of $150 million related to disposals. So full year 2013 ongoing free cash flow, which excludes the pension contribution and severance payments, was $1.6 billion, $100 million higher than in 2012, representing a 7% year-on-year increase. Adjusted EPS for the fourth quarter was $0.21 per share, down $0.33 from the prior year primarily due to the $275 million of charges incurred in the fourth quarter. Excluding these charges, EPS for the quarter was $0.49. A higher tax rate had a negative $0.02 impact on EPS during the quarter, and currency had a positive $0.01 impact in the quarter. Full year 2013 adjusted EPS was $1.54 per share, down $0.35 versus the prior year, driven again by the severance expenses incurred in the fourth quarter. Excluding fourth quarter charges, full year EPS was $1.83. And currency had no impact on full year EPS. Now Jim has presented our key metrics for the 2014 outlook, so I will speak to those that he did not address. Capital expenditures are expected to remain at approximately 8% of revenue, similar to 2013, and I'd like to remind you that CapEx has remained flat since 2011. Interest expense is expected to range between $450 million and $475 million and reflects lower interest rates resulting from debt refinanced in 2013. The projected interest expense is comparable to 2013 despite an expected increase in average debt outstanding. And we forecast that our effective tax rate will range between 13% and 15% in 2014, up slightly from 12% in 2013. Now I would like to remind you that we historically pay more in cash taxes than our effective tax rate may imply. For instance, our cash taxes in 2013 were over $300 million as compared to the $87 million booked tax expense based on our effective tax rate. This is somewhat unusual and attributable to multiple factors. For instance, a number of noncash expenses we book under IFRS, including amortization expense for intangible assets related to most of our acquisition activity. These expenses are not deductible from a cash perspective. Also, we obviously continued to pay cash taxes on the businesses we are in the process of divesting, but we exclude the results from these businesses and the associated taxes from our adjusted earnings. Finally, 2 important reminders. First, our EBITDA and OI margin outlook for 2014 include about $120 million of charges announced in Q3, which we expect to take over the balance of the year. Most of these charges will consist of severance expenses and additional lease write-downs we will take in connection with the lower headcount. Second, our free cash flow projection reflects the cash impact of the charge we took in Q4 and the majority of the additional $120 million charge we expect to take throughout 2014. And we expect the total cash impact of this charge to be around $300 million on a $240 million free cash flow performance. And finally, our 2014 cash flow will also be negatively impacted by loss of about $75 million of cash coming from the businesses we divested last year. So our free cash flow projections for 2014 reflects the impact of these 2 items, which in aggregate amounts to close to $400 million. With that, let me turn it back over to Jim.
James C. Smith: So in closing, I would characterize 2013 as a year of solid progress. The turnaround in our Financial business continues with meaningful improvement in execution across product development, platform consolidation, back-office systems integration and product deployment. These successes are being recognized by our customers as reflected in higher retention rates and improving customer satisfaction ratings. In addition, although net sales were negative, they improved over 2012. And we ended the year with more than 122,000 installed Eikon customers, nearly triple the number from 1 year ago, with 55% of desktop revenues now upgraded to Eikon. And our growth businesses exceeded 50%, a very important milestone, and they grew 9% in 2013. We're also pleased with the progress we're making with our cost reduction programs as evidenced by our ability to hold margin despite a 1% decline in organic revenue growth and charges of $100 million in the first 9 months of the year. Turning to 2014, we're confident we will continue to make steady progress this year. Top line growth will be tempered by headwinds in the global banking and legal markets as well as the fact that we'll be making fewer acquisitions. That being said, we will aggressively pursue growth in those areas where we have strong positions. And finally, we're making good progress with our transformation program, and we will have more to share with you during our upcoming Investor Day in March. Now let me turn it back over to Frank.
Frank J. Golden: Thanks very much, Jim and Stephane. And that concludes our formal remarks. So operator, we'd now like to open the call for questions, please.
Operator: [Operator Instructions] Our first question today comes from the line of Andrew Steinerman with JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Well, when thinking about the great milestone of sunsetting the 3000 Xtra family and the Bridge sunsetting late last year, how much savings should you have in 2014? And how does that play into your margin expectations for the F&R segment in 2014?
Stephane Bello: All right, Andrew, let me take on that question. It's Stephane. I would expect that we will see additional improvement in F&R's margin this year, both on a reported basis, obviously, but also, more importantly, on an underlying basis. This being said, keep in mind that F&R will still incur additional charges in 2014. The majority of the $120 million that we mentioned will actually be concentrated in F&R. So once again, their margin or the progress they're making in the margin would be somewhat obfuscated by this charge. So to try to give you a little bit more color, on an underlying basis, F&R margin was 24.5% in 2013. So in order for us to get to the level approaching 30% by 2015, which is, as we mentioned earlier, an internal target that we've set for ourselves, we need to see an improvement of close to 500 basis points over 2 years. Obviously, we plan on giving you more detail on this during the IR Day that we're going to have next month. Both David Craig and Tim Collier, CFO F&R, will be there to provide you that detail. But at a high level, I would expect that this 500 basis point margin improvement will likely be more backloaded in 2015, and this is due to a number of reasons, Andrew. The first one is that, obviously, we will see more impact of the platform shutdowns in 2015 that we would in 2014. The second point, as I mentioned earlier, 2014 will still be -- the margin that we're going to report will still be impacted by these charges that we just announced. And finally, given our assumption that net sales will continue to improve, I would hope that F&R's revenue growth will be better in '14 and than -- in '15 and '14. So overall, if you were to ask me, I would expect that we should see progress towards that internal target that we've set, but it would be more backloaded in '15.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Right. And why does it take till 2015 to benefit from the shutdown of Xtra and Bridge?
Stephane Bello: I was making that more as a general comment. For instance, this year, we will shut down a couple more important platform, the 2 IDN platforms. And so you will see the benefit of that really flowing through in '15 really much more visibly than in 2014.
Frank J. Golden: And Andrew, this is Frank. And we -- the savings associated with the Bridge shutdown as well as EMT and HTA, I think we've mentioned earlier -- not on this call, but previously, that we expected savings of about $40 million flowing through from those.
Operator: Our next question comes from the line of Paul Steep with Scotia Capital.
Paul Steep - Scotiabank Global Banking and Markets, Research Division: I guess first one for Jim and then actually a clarification for Stephane. One, what's the milestones we should be watching for within F&R and Legal to fuel the organic growth initiatives into 2015 and beyond? And then secondly, the clarification for Stephane, on the 500 basis point lift you're just talking about in 2015, your third point, how much of it is responsible or how much would happen if you neutralized organic revenue growth in the period, i.e. if net sales just stayed flat, what type of lift do we end up with?
James C. Smith: Well, thanks, Paul, and I will tackle that. I think, as always, the kind of underlying sales trajectories, I think, we got to look at. And what we'll be looking for and trying to manage is that continued improvement in the overall leading indicator, which is net sales. I think next year as well, or this year, what we'll try to do is to give you a little more color, because we'll be managing it carefully, about how we're proceeding in strategic segments. We're entering a pretty important phase here for us. The Xtra 3000 replacement program was all about replacement, and we're working really, really hard to convert folks to a better -- existing customers to a better product that we knew would be stickier overall. As we begin to move throughout '14 and into '15 more to the buy-side, more to the investor side, investment management side, and consolidating the old Thomson ONE products onto the Eikon-Elektron platform, I think we'll be more focused on going after new customers. So grabbing that new ground is going be important for us. And the progress that we're making by strategic segment will be something we'll be talking about in greater detail in this year and in coming years because we want to make certain that we're driving to the kind of long-range, profitable business that we really want to cultivate here. And so it's all about sales trajectory and sales momentum. We'll continue to talk about that. But it's also about making sure we're getting that sales momentum in the right places that are going to power the business for the future. And we'll be sharing that with you, more about that on Investor Day and more about that, I think, quarter by quarter.
Stephane Bello: To answer your second question, when we provided that internal target last year during Investor Day, we were assuming very modest organic growth for F&R over the period of time. Obviously, given the guidance we've just given, I don't think it's prudent to accept -- to expect organic growth for F&R this year. And I think we would expect some -- maybe something very -- too soon to call 2015, but that margin target is not relying on a very large revenue growth rate in 2015. If anything, it will be very modest.
Operator: Our next question comes from the line of Sara Gubins with Bank of America Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: On F&R and Eikon, could you give us an update on retention? And could you also -- I'm curious on market share, if you think that your market share in F&R is holding.
James C. Smith: Look, I'll take that. Stephane will have the specific numbers on retention. What we've seen on retention is that it's up significantly where we have replaced Eikon. I think it was 500, 600 basis points improvement in customer satisfaction scores, and we're seeing retention up. Encouragingly, Sara, we're seeing it up particularly amongst our largest customers. And in fact, that retention rate moved very nicely for our top 80 banks that we classify as the big global banks. So that's quite encouraging. And it shouldn't be surprising given the -- how much better the product is than the previous product. So we're very encouraged by the retention there.
Sara Gubins - BofA Merrill Lynch, Research Division: And then secondly, you mentioned -- I thought I heard you say that you're expecting Legal margins to be flat to down slightly in 2014. I want to check to see if that includes any incremental charges. I'm actually surprised that it wouldn't be down more given the print declines.
Stephane Bello: Well, you've seen the slide I showed a little earlier detailing the reasons for the downward drift in our margins in 2013, and I said it was like really attributable to 3 factors, one of which was the acquisition of Practical Law. On the year-over-year basis, that's no longer going to be a factor because we made that acquisition in February of last year. So I think that in 2014, what you're going to see hopefully is a return to what we've been able to do in prior year, where we've been able to offset the negative revenue mix impact that we've had in the business to 2 factors: number one, cost-cutting actions; and number two, the fact that our growth business are gaining scale and thereby the margins in this business, while it's remaining lower than core legal research business, the margin of both businesses is also improving. And that's why we're making that assessment of overall margin to be flat to maybe down slightly.
James C. Smith: And Sara, I should come back in, and I realize I didn't answer the second part of your question there. So I -- which I very much want to do. I mentioned strategic sectors that we're going after. I can tell you this about market share. The definition of market share depends upon your definitions of market and how things get measured. And I can tell you that in all the strategic sectors where we're going head-to-head with our key competitors, I'm still in a position where I believe that we are no longer losing market share. And in fact, when we go head-to-head with competitors, we win more than our fair share these days. Now if you look at the whole of the financial services market and how some third parties might calculate that, I just can't speak to their calculations. We did the best, a considerable amount of businesses over the last 18 months. And I suspect, if you look at the overall numbers as a whole, then that would show up that we would have gone backwards in the overall market. But I can tell you, where we go head-to-head with competitors in our key strategic segments, we're holding our own, and I do not believe we are losing market share.
Operator: Our next question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik - Barclays Capital, Research Division: If you could, just from a growth perspective, help parse out of sort of what the desktop revenue, which you said, I guess, was 45%, how that grew organically versus sort of the non-desktop revenues. And then just tied to your comment where, I guess, this year the focus was on news -- or in this coming year, the focus will be on new sales versus upgrades the prior year, maybe if you could dive into that a little bit more, talking about sort of what the news that Eikon business has been thus far and what you expect.
Stephane Bello: Let me try to address the first part of your question. At least I can tell you that the revenue decline in our financial desktops this year was in the area -- was in mid-single digit range. So 5% to 6% decline. So this is still a very heavy decline, which is directly related to the net sales performance we had in the prior 12 months' period. I would expect that rate of decline over the coming years to hopefully improve as a result of the introduction of Eikon, which is obviously a much better product. And sorry, Manny, could you repeat your second question?
Manav Patnaik - Barclays Capital, Research Division: Well, I mean, just related to that, I mean, the non -- like the feeds business and transactions, how did that grow generally?
Stephane Bello: These businesses are still growing. And I -- so that's why you get to an average organic rate that's better than the 5%, 6%, as mentioned.
Manav Patnaik - Barclays Capital, Research Division: Okay. And then I just asked on sort of the focus on new sales versus upgrades, and just a little more color on how that's performed and your expectations.
James C. Smith: Yes, I think that we had the whole of sales force focused on getting those Eikon migrations done as quickly -- and upgrades as quickly as we could because we do have a better product -- would result in better customer satisfaction and better retention. And in fact, it has. And so that was exactly the right thing to do. This year, we've got to focus on new sales. And we would expect our gross sales performance to pick up, and we would expect our retention rates to hold. Also, we have some really, incredibly compelling new products, both now in the market and in the pipeline, for later this year, right? So as we -- Eikon 4.0 is now out, and we think that's going to be a very compelling product, and it's going to attract new customers. And you'll remember last year, our success rate was after every 5 Eikons that we upgraded, we got 1 add-on sale. Now we can focus on those add-on sales. We're bringing out some strong new product as well; consolidating the Thomson ONE various products onto the Eikon-Elektron platform. And we think that will be attractive investment management and to the buy-side in general. So we're going to target those areas for market share gains, and we're encouraged by that. And we've got some strong plans, and I don't want to telegraph them too much, for significant improvements in the FX market as well throughout the year. So I think we've got a good product pipeline, good plans and a sales force that's going after new sales this year. So we would hope to see an increase in both the pickup in our gross sales and better retention from the Eikon product that we have.
Operator: Next we'll go to the line of William Bird representing FBR.
William G. Bird - FBR Capital Markets & Co., Research Division: Jim, I was wondering if you could talk about the expected run rate savings from some of the 2014 platform sunsetting.
James C. Smith: Stephane, you might be better positioned to answer that.
Stephane Bello: Yes, Bill, I'm not sure we want to speak specifically about one product shutdown versus the other. I mean, we've given you like an overall margin objective. And obviously, that margin objective assume that we achieve significant run rate savings from the platform shutdowns. We're going to more details about that in -- during the meeting on -- in March. But I think what you should focus on is obviously the improving -- continuing improvement in the margin for F&R and that improvement in margin happening despite the fact that they're still very much in a position of generating negative organic revenue growth right now at this point in time.
William G. Bird - FBR Capital Markets & Co., Research Division: Okay, and then separately, I guess as you migrate customers from multiple products to Eikon, are you able to preserve pricing? How are you managing kind of the price transition?
James C. Smith: I mean, we're going to do that very strategically, Bill. And that will be tricky. We've done a lot of work on that over last year and understanding the most effective combinations and pricing strategy. And I hope you can appreciate that I don't want to telegraph that in great detail at this point. I think there will be places where we will make short-term sacrifices in term -- in pricing in order to penetrate key strategic markets, and I think there are other places where a more effective bundling strategy per se could yield, in fact, higher, long-term total uptake. So I think there are risks and opportunities in a move like this. Obviously, we think the opportunities outweigh the risks or we wouldn't be doing it. And again, I just don't want to telegraph exactly what we're going to do there because of the competitive nature of what those pricing decisions mean.
William G. Bird - FBR Capital Markets & Co., Research Division: And Stephane, is there any pension contribution in your 2014 free cash flow guidance?
Stephane Bello: Oh, that's a good question, Bill. We always have ongoing normal pension contribution that we do to our plans around the world. I would say in '13, those were around $60 million or $70 million, and I would expect the same run rate going forward. We do not expect the need to make a large onetime contribution such as the one we did last year. And for reference, the last time we had to make this extraordinary pension contribution was almost 10 years ago, in 2002, 2003. So with the pension contribution we've made in the fourth quarter, our overfunded status now is about 95%, and that's why we do not expect the need to make additional pension contribution of a large scale like the one we did last year.
Operator: Our next question is from the line of Toni Kaplan representing Morgan Stanley.
Toni Kaplan - Morgan Stanley, Research Division: Can you talk about the competitive environment in core legal research? And related, I guess, in print, is there increased aggressiveness in pricing by competitors?
James C. Smith: I -- yes, the answer is no. I don't think there's increased competitiveness. I think it's that the market remains dynamic, as it has been. I think there's not been a real significant change in any way in the competitive dynamic there. We have seen, obviously, pricing pressures from obviously the Lexis in the U.S. market, but that's primarily on the electronic side. In the print side, we're just such a dominant player, particularly in the U.S, that it's not necessarily around competitive price. It's around paying the price for both print and online and a shift in customers who prefer to consume their information online and are buying -- just buying less books overall. We have a significantly larger print business than anyone else, particularly in the U.S., so that's why it impacts us to a greater degree. But there's no real change in the competitive dynamics and no price pressure contributing on the print side. It's just the general preference for online. And we're in a position really in the United States where we have the luxury of almost charging twice for things because the vast -- almost virtually all of the information that is contained in our print publications is now online as well. So it's a supplemental sale.
Toni Kaplan - Morgan Stanley, Research Division: Okay. Great. And then in Latin America, there's not too much you can do about the overall market. But in terms of just positioning for the market, I know you have the -- at least one initiative in place that had costs [indiscernible]. But anything else in place, Jim?
James C. Smith: Listen, we're very, very positive, and I'm very bullish on Latin America overall. And what you see in terms of the top line numbers there are very deliberate commercial decisions that we've made to tighten commercial policy and forgo short term for what we believe is a very attractive long term. We think there's great opportunity for us to grow, particularly in our electronic products, particularly in our software solutions, particularly in our global tax and workflow solutions, but we want to move aggressively. We think it's a far more profitable, sustainable and predictable model if we can move Latin America, where we sell primarily through third-party bookstores, into more of a subscription -- or a subscription-nature electronic arrangement. And we're moving aggressively to both put content online, in our online services, and to deploy what we think is killer eReader technology to move those books onto tablets as well. So we're -- this is a deliberate decision there to forgo kind of status quo, short-term revenue in order to migrate that market to what we think is a more attractive model.
Operator: Our next question comes from the line of Peter Appert of Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Jim, just to be clear, the weaker fourth quarter net sales in F&R, you attribute it completely to market weakness, not any flavor of competitive dynamic, correct?
James C. Smith: Yes. And then look, that's exactly right. And it is also the -- there are 2 things, particularly in the -- Europe was generally softer. And when I say emerging markets, there was the deliberate steps we took in legal and regulatory in Latin America, okay? That was part of it. And then the other stuff in emerging markets was Asia x Japan. Japan was actually pretty strong for us. And when I think about emerging markets, we got to get with 2 things, right? Or 3 things, actually. One, when you think about big global banks pulling back from emerging markets, we serve those big global banks. And so their pullbacks affected their contracts with us. Also, with some of the product shutdowns, the Bridge Network shutdown, the migration off of Xtra 3000 onto Eikon, we suffered some losses in the long tail of small customers across Asia who didn't make the migration to the new products with us. And then I think just generally, as a lot of people reported in Q4, there was just a general softening in what had been very hot, fast-growing markets that also flowed through. But yes, I contribute all of that to just surprising market weakness in Q4. And I would only add to that -- well, again, we don't give quarter-by-quarter guidance or anything. It's too soon to talk about a whole quarter, but we're encouraged with the way the year has started after that downtick. And again, in our business model, particularly in the Financial business, Q4 tends to be the place at which the big seismic changes are concentrated. It's always that tough year. It's always that tough period in which banks kind of reset the foundation for the next year. And it was just -- it was a tougher-than-expected period outside.
Peter P. Appert - Piper Jaffray Companies, Research Division: Also, can I ask 2 follow-ups then? One, should we expect then that the first quarter net sales could be positive? And then two, specifically in the fourth quarter, was the U.S. positive offset by weakness elsewhere? Or was the U.S. also negative?
James C. Smith: The U.S. was stronger, but was not positive. But it was strong -- stronger than the other regions. And for the first quarter, as I've said many times, I expect to see an improved net sales position over the prior year in the quarter, and we expect to see that trend continue throughout the year. I don't want to get into the place of predicting quarter-by-quarter where we're going to pop above the positive or pop down to negative because I wouldn't overread that. To me, what's important is the trajectory. Just like when I look at the second half, I don't -- one quarter doesn't a trend make. And I don't look at the fourth quarter as being a break in the momentum inside the business or a break in the momentum with our customers. I'd rather look at the whole of the second half being better than the whole of the second half last year. And I'm relying upon all the conversations I've had with customers throughout that fourth quarter, although it was tougher, and certainly as we go into this year. So what we're looking for is an improvement in the trend, but I don't want to get into living and dying on whether or not we pop into -- pop slightly into positive or slightly into negative, particularly because 1 or 2 big swings -- 1 or 2 big accounts can make that difference.
Operator: And we have a question from the line of Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: My question is I understand you don't want to telegraph exactly what the pricing strategy is in the transition to Eikon, but to better understand how things are changing versus prior comments, could you comment on whether or not you're still seeing 2% to 3% increases across the entire business? Or is it now something less than that on a blended basis?
Stephane Bello: I would expect it would be less than that on a blended basis for 2014.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: Okay. And then in terms of the restructuring charges, just understanding what drove you to increase the charges and then not necessarily make any change to the run rate of $300 million by 2015. I'm trying to understand kind of what inning you're in, in terms of reevaluating opportunities. And, I mean, I guess I'm really just trying to understand, are you reinvesting some of that savings, which is why you didn't take the number up? Is it that you're offsetting cost increases somewhere else? Or it's some other factor that we're not thinking of?
Stephane Bello: Sure, Andre. I think the main driver of the charge increasing a little bit from the earlier guidance was the fact that we included what we refer in accounting terms to onerous leases, which means essentially we -- with the reduction in headcount, we need less space. And as we vacate floors or buildings, we essentially had to write down the remaining lease obligations we had on these spaces. So I believe that was the main driver. We really focused more on the severance expense in the earlier indication that we had. And again, the change is not really very significant, but I think that's the biggest part of it. And in terms of your second question, why we didn't increase the run rate, it's about the same, maybe a little higher. But as you said, we obviously -- we can't expect to see the full run rate flowing through an improvement in margins when you have still low revenue growth and when we still have to make investments in the business, as you pointed out. And we very much intend to continue to make investments in the business.
Operator: Our next question is from Doug Arthur with Evercore.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Stephane, just going back to Slide 37 on the guidance. Just, I mean, this perhaps is an obvious point, but the adjusted EBITDA margin guidance of 26% to 27% includes the $120 million of anticipated additional charges. So essentially, about 1% of revenues. Ergo, the adjusted, adjusted margin would be up about 100 basis points from the adjusted x charge margin in 2013. Is that a fair way to look at it?
Stephane Bello: It's a very fair way. It's a good idea. We may introduce the adjusted, adjusted margin.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Yes, I mean, it seems -- so essentially flat revenue.
Stephane Bello: Exactly. Exactly right. Your analysis is exactly right, Doug.
Operator: And we have a question from Drew McReynolds with RBC.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: And maybe, Jim, just for you, kind of big picture here. As you look over, I guess, 2015, if I can push you a little bit here, what kind of visibility do you have on a return to positive organic revenue growth in F&R? And specifically, like, what are the kind of key deltas or assumptions that would get you there? Whether it's respect to a recovery in Europe with emerging markets, maybe stronger growth in FX, it -- does it require you to get to positive organic revenue growth in desktop? Maybe all of the above or part of the above? If you could just kind of flush that out for us.
James C. Smith: I think we got to continue the trajectory overall in net sales, right? And we got to get back at least to flat net sales overall so that some of the price can stick, right? And that can get -- so we don't have get into positive territory for the whole year, but we got to get -- we got to continue to see that trajectory improve on net sales overall. And I think -- does it mean you have to get positive in desktops? No, not necessarily overall, but it means we have to be making progress, we need to make more progress on the buy-side. It means we have to see our feeds business continue to grow as it's growing now. We have to be strong in our Trading and Marketplaces -- in our Marketplaces businesses as well. And we have to continue to win in the FX market. So I think overall, it's that blend that will get us there. I don't think there's one key area that's going to offset the other. We've we got to continue to make improvement overall in net sales because that gets us back to the place where we can have that revenue growth. And in terms of visibility, look, I like the sales pipelines that we have set up. I can tell you that the sales force loves the new products, one that -- the ones that they have in their hands today and are selling, and they're very excited about the ones that are to come throughout the year with some significant launches throughout the year. So I like our chances there, but it's hand-to-hand combat in a very volatile market and absolute visibility into where we'll be in January of 2015 is difficult right now.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Okay, and I appreciate that. And then maybe just one follow-up for you, Stephane. I think on the buyback, you've been moving quite nicely through the kind of $1 billion target by the end of 2014, and it looks like you're ahead. If we get to May and you've kind of gone through the $1 billion, seems to be flexibility in the balance sheet to kind of continue to buy back as you renew the NCIB. Can you just give us your updated thoughts there?
Stephane Bello: Sure. You're exactly right. We've been moving, as promised essentially, with space on the buyback program. We've essentially completed $300 million of the program by -- in the fourth quarter. I would expect a good pace to continue and then we reevaluate the program with the board when we complete this $1 billion. But as we said, our goal when we set that target was not just to set a high number and say we -- it's a new number. We can't tell you what we're going to do under the program. Of course, it's very much to execute on that program and complete the $1 billion. So we'll definitely -- we should definitely be able to do that before the end of the year and maybe even a little bit sooner.
Operator: Our final question today then will come from the line of Matt Walker with Nomura.
Matthew Walker - Nomura Securities Co. Ltd., Research Division: I'll be quick. A quick question, I guess, for either Jim or Stephane is, the net sales in Financial, do you expect the net sales to be positive for -- clearly, it's very difficult to say in the short term, but do you expect the net sales to be positive for the full year '14? And can you also comment on have you had to give -- you clearly had a big drive for installations to get all the 3000 Xtra people over by the end of the year or very close to end of the year. Have you had to give any kind of discounts or incentives or have something like that in order to achieve the closing out of the 3000?
James C. Smith: Well, for -- I'll answer the second question first, and the -- no, we didn't. In fact, we migrated folks at the exact terms that they had for Reuters Xtra 3000. And we used it as an opportunity to upgrade products at the same price [ph]. As far as overall net sales being positive or negative for the year, we're not going to give a prediction on that at this time. We're going to continue to see the trajectory improve, and we are confident we'll be able to keep the trajectory improving. As I said earlier, whether it pops in for 1, 2 or 3 quarters into that positive territory, it's just too tough to say right now. We'll let you know as the year progresses if we get any greater visibility into that.
Frank J. Golden: Perfect. So that'll conclude our call. Let me just mention this, as Jim had during his presentation, that we will be hosting an Investor Day in Toronto on March 20. You can expect more information coming from us over the course of the next few days. On that, feel free to contact my office if you have any questions. And with that, that will conclude our fourth quarter call. So thanks very much for joining us.
Operator: And ladies and gentlemen, this conference will be available for replay after 10:30 a.m. this morning and running through February 19 at midnight. You may access the AT&T Executive Playback service at any time by dialing 1 (800) 475-6701 and entering the access code of 316118. International participants may dial (320) 365-3844. That does conclude our conference for today. We thank you for your participation and using the AT&T Executive Teleconference. You may now disconnect.